Operator: Good day, ladies and gentlemen, and welcome to the First Quarter 2008 Lakes Entertainment, Incorporated Earnings Conference Call. My name is Jasmine and I will be the operator for today. At this time, all attendees are in a listen-only mode. We will conduct a question-and-answer session towards the end of this conference. (Operator Instructions). I would now like to turn the presentation over to your host for today’s call, Mr. Tim Cope. You may proceed, sir.
Timothy Cope – President and Chief Financial Officer: Thanks Jasmine. Good afternoon, and welcome to Lakes Entertainment’s first quarter 2008 earnings conference call. On the call with me is Lyle Berman, Lake’s Chairman of the Board and Chief Executive Officer. As we begin our prepared remarks, I’d like to remind everyone that this call may contain forward-looking statements within the meaning of the Federal Securities law, including statements regarding business strategies, and their intended results, and similar statements concerning anticipated future events and expectations that are not historical facts. These forward-looking statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements do not guarantee future performance and therefore undue reliance should not be placed upon them. Lyle will begin our discussion today with a general overview and update on our casino projects. I will then discuss the fourth quarter financial results and recent business events and then we’ll conduct a question-and-answer session. Lyle?
Lyle Berman – Chairman and Chief Executive Officer: Thank you, Tim, and welcome everyone to the Lakes’ first quarter 2008 earnings call. Our first quarter was initially hampered by severe weather in Michigan, but we believe that significantly improved results in the second half of the quarter show that the Four Winds Casino Resort, which we manage on behalf of the Pokagon Band of Potawatomi Indians is on the right path and capable of producing strong results given reasonable conditions. We anticipate the spring and summer months will be strong and provide further evidence that the Four Winds is one of the top destinations in the Great Lakes region. In addition, we continue to refine our targets in terms of customers and demographics in order to provide the best possible guest experience and maximize operating results at Four Winds. Four Winds customer loyalty program continues to rapidly expand, and our club membership still exceeds our expectations. We have used this data to create direct marketing programs and promotions that have significantly improved the level of play from our guests, increasing the win per guest statistics. We have also used the same programs to leverage the hotel as well. Year-to-date, we are now running over 97% occupancy. To meet the demands of the higher worth players, we converted the seafood restaurant into a dedicated club member-only lounge, exclusively for members of the top tier of the loyalty program. This change, along with other service initiatives has resonated well with the players and reflects positively in our customer service surveys. Further, in April, we shifted advertising dollars to introduce Four Winds into the important Chicago market, and we believe our campaign will raise the awareness and help us further penetrate this market. March was clearly our best operating month since opening and April continued on a similar path. In addition to Four Winds, our Cimarron Casino in Perkins, Oklahoma, which we manage for the Iowa Tribe of Oklahoma, continues along with strong results. The casino which contains 360 Class III slot machines continues to show steady improvement. In the first quarter of 2008, total revenue was up 26% from the prior year. We expect continued solid performance from Cimarron throughout the year. The Red Hawk Casino project near Sacramento, California, which is the casino development and management project currently under construction with the Shingle Springs Band of Miwok Indians, remains within budget and on schedule for a grand opening in late fourth quarter of 2008. We are currently in the process of arranging FF&E financing of approximately $65 million. The casino project is approximately 59% complete. Once fully completed, the facility will host a total of 2,100 slot machines and gaming devices, 75 gaming tables, 10 food and beverage outlets, and approximately 3,200 covered parking spaces. We’ll also have a dedicated interchange from US Route 50, which is approximately 74% complete, allowing easy access for our customers to the casino, only a few hundred yards away. We believe the Red Hawk Casino is well positioned to draw from a large customer base with over 4 million people in a 75-mile radius of the casino, achieve a strong ROI, and create shareholder value. You can see webcam shots of current construction on our website at www.lakesentertainment.com. There is not much news to report on Jamul Indian Village Casino project near San Diego and the Iowa Casino resort near Chandler, Oklahoma. Planning is still ongoing to redesign the proposed Jamul Casino to provide for approximately 1,000 Class II gaming devices along with 25 Class II table games. We are working with the tribe to determine when Casino construction will begin. For the Iowa Casino resort, which will be our second project with the Iowa Tribe of Oklahoma, we are still waiting on the Bureau of Indian Affairs for approval of the land plan on which the casino resort will be built. After the BIA approval is received, we expect to rapidly receive NGIC approval on our management contract, the last step needed before design, financing and construction of the project begins. Once approval is received, we expect a 12 to 18-month development in construction timeline with an expected opening of Iowa Casino in early 2010. The casino is currently planned to have approximately 1,200 to 1,500 Class III slot machines, 30 to 50 table games, four restaurants and a hotel. There is nothing new to report on our Vicksburg, Mississippi project. Now, I would like to talk about our newest and very exciting project in Ohio. We announced last week that we have partnered with Myohionow in its efforts to pursue the development of a casino in Ohio. We are sponsoring a referendum to be voted on by Ohio residents during the November 4th Presidential election. Our referendum contains two major points. We will authorize one and only one casino and entertainment destination resort to be built at a cost of no less than $600 million on a particular 94 acres of land in Clinton County. The site is at the crossroads of Highway 71 and Highway 73. It is equidistance South of Columbus, North of Cincinnati and East of Dale. Approximately 4.2 million people live within 65 miles of this site. Number two, the referendum calls for a gaming tax revenue of 30%, which we estimate to be between 200 and $240 million to be shared directly with each of the 88 counties in Ohio based on population with no strings attached. The money does not go to the State, but rather directly to each county every year. Two major additional selling points for the referendum. We estimate the casino would provide up to 5,000 more jobs as well as the beneficial economic development created by the casino. And B) four out of five states surrounding Ohio namely; Indiana, Michigan, Pennsylvania, and West Virginia have casino game. Ohio money and the direct beneficial economic development associated with the casino are leaving the state at 65 miles per hour, it's time that stops. As there have been three previous efforts to create casinos in the state by other referendum process, the first question you might ask is, "Why will you succeed where others have failed?" Of three failed efforts, one was in 1990, 18 years ago and one was in 1996, 12 years ago. Due to the time lapse, we don’t believe those are pertinent. The most recent effort was in 2006. They lost the vote 57% against to 43% in favor. We think that is good news as we only have to convince another 7% to win. Although they spent $28 million on the campaign, it is our understanding 16 million of the total was spent on consultants, not on direct media buys, and was not a very focused, well managed campaign. The main differences between the 2006 proposal and our proposal are, One) their bill called for legalization of seven casinos, I mean slots at racetracks and two casinos all in populated areas, versus ours to legalize one and only one $600 million destination casino resort in a rural area. Two, all of the taxes generated for the casinos were to be distributed pursuant to a plan called Learn and Earn, to be primarily used for college scholarships to the upper 5% of high school graduates versus our proposal, which has been labeled Share the Wealth, under which as previously stated, each County would receive their fair share of the gaming tax revenue directly from the casino. We believe each County knows best how to spend their share of the gaming tax revenue. With our proposal, each County receives a direct financial interest from the casino each and every year. Three, their referendum was conducted in a non-Presidential election year. We believe the additional voters during this Presidential election year demographically will be more prone to vote yes. The timing for our efforts is as follows; announcement of our involvement on April 30 of this year just occurred. In order to be on the ballot in November, we must gather 402,000 valid signatures on the petition. We have hired a firm to collect 700,000 signatures by August 1. Certification of the signatures, which guarantees our referendum, will be on the ballot, should be completed by the state by the end of August. We will be conducting a major educational campaign in September and October. If successful on November 4, we estimate it will take 12 to 18 months for the state to form a gaming commission and our architects to finish the architectural and engineering plans. We estimate the construction timeframe to be an additional 12 to 18 months as well. If successful, we estimate opening the casino in the fall of 2011. With that, I will turn the call back over to Tim to provide an overview of recent business issues and financial results.
Timothy Cope – President and Chief Financial Officer: Thank you, Lyle. First quarter 2008 consolidated revenues were $9.6 million, up 92.3% from the prior year period. Lake’s revenue increased $4.1 million, primarily due to a full quarter contribution of management fees from the Four Winds Casino Resort compared to no contribution from that property in the first quarter of 2007. Revenue related to WPTE increased to $5 million for the first quarter of 2008 compared to 4.5 million in the prior year period. This increase was due to an increase in hosting and sponsorship revenues primarily driven by international television sponsorship revenues that did not exist in the prior year period. In accordance with the management contracts of the Pokagon Band, pre-opening expenses during the construction phase of the project are shared proportionally by Lakes during the first 12 months of Four Winds operations. To clarify, Lakes’ proportionate share is approximately $4 million over the first 12 months of operations and only the first 12 months. There’s no impact on Lakes’ fees in subsequent years. Consolidated selling, general and administrative expenses were up $1.2 million from the prior year period to $10.9 million due to $1.6 million in development cost associated with the proposal of Ohio Casino Resort project. For the first quarter of 2008, Lakes' selling, general and administrative expenses were 5.5 million and consisted primarily of payroll and related expenses of 2.2 million including share-based compensation, the development cost associated with Ohio Casino Resort project of $1.6 million, and professional fees of approximately $600,000. Other costs and expenses in the first quarter of 2008 included amortization of intangible assets of approximately $1.7 million associated with the casino project with the Pokagon Band, which commenced upon the August 2007 opening of the Four Winds Casino Resort. Net realized and unrealized gains and losses on notes receivable relate primarily to the company’s notes receivable from the Indian Tribes, which are adjusted to estimated fair value based upon the current status of the related tribal casino projects and evolving market conditions. In the first quarter of 2008, net unrealized losses on notes receivable were $2 million compared to net unrealized gains of $200,000 in the prior year period. Net unrealized losses in the current year quarter were due primarily to a decrease in projected interest rates due to current marketing conditions for the notes receivable related to the Red Hawk Casino project with the Shingle Springs Band of Miwok Indians and the notes receivable related to the Casino project with the Jamul Indian Village. Now, I would like to discuss auction rate securities. As of March 30, 2008, the company had $8.6 million in cash and cash equivalents, $8.5 million in short-term investments in marketable securities, and $38.8 million in long-term investments in marketable securities. Of these amounts, $3.6 million in cash and cash equivalents related to Lakes and $25.5 million in long-term investments related to Lakes. All other amounts relate to WPTE. All of Lakes' long-term investments in marketable securities and 11.3 million of WPTE’s long-term investments in marketable securities were auction rate securities, which I will refer to as ARSs. As we saw some current liquidity issues surrounding the company’s ARSs that I will discuss shortly, the company’s ARSs were reclassified from short-term to long-term investments in marketable securities as of March 30, 2008. The types of ARSs that the company owns are backed by student loans, the majority of which are guaranteed under the Federal Family Education Loan Program and all have credit ratings of AAA. Neither Lakes nor WPTE own any other type of ARSs. None of our investments in ARSs qualify or have been classified in our financial statements as cash or cash equivalents. Historically, these types of ARS investments have been highly liquid using the auction rate process or reset the applicable interest rates at predetermined intervals typically [seven] to 35 days to provide liquidity at par. However, as a result of the recent liquidity issues experienced in the global credit and capital markets, the auctions for all of the company’s ARSs began failing in February 2008 when sell orders exceeded buy orders. The failures of these auctions do not affect the value of the collateral underlying the ARSs and the company will continue to earn and receive interest on its ARSs at contractually set rates. However, the company will not be able to liquidate its ARSs until the issuer calls the security, a successful auction occurs, buyers found outside of the auction process or the security matures. During April of 2008, the company received accounts statements dated March 30, 2008 from the firms managing its ARSs, which estimated the fair value of the company’s ARSs. The company analyzed these statements and we've concluded that a temporary decline in estimated fair value of $2.4 million related to company’s ARSs has occurred as a result of the current lack of liquidity. This consolidated decline in fair value includes $1.3 million related to Lakes and $1.1 million related to WPTE. Since the company considers the decline in the estimated fair values of its ARSs to be temporary, the related unrealized losses included in accumulated other comprehensive loss in the shareholders equity section of the company’s balance sheet as of March 30, 2008. Lakes entered into a client agreement with UBS Financial Services effective April 11, 2008 for the purposes of borrowing and/or obtaining credit in a principal amount, not to exceed $11 million. Lakes has made an initial draw under the margin account agreement in the principal amount of $3 million to be used for working capital purposes. The company will be required to seek additional sources of financing to fund additional costs of plans to incur between August and November of this year associated with the recently announced Ohio Casino Resort project. These costs are dependent on various factors; including polling numbers, market studies and media efforts. Lakes is currently exploring several financing alternatives and expects to be able to obtain funding as necessary. WPTE did not believe that any lack of liquidity during the next 12 months relating to its ARSs will have an impact on its ability to fund its operations. Lakes also had $77.9 million in notes receivable from Indian Tribes adjusted to their estimated fair value as of March 30, 2008. The corresponding face value of these notes including accrued interest was 119.4 million. As of March 30, 2008, the company had no interest-bearing long-term debt and had $6.7 million in long-term contract acquisition costs payable. In addition to our financial results, we are maintaining our core 2008 selling, general and administrative guidance of remaining relatively flat with the previous year. Our selling, general and administrative expense guidance does not include development cost associated with the proposed Ohio Casino project. In summary, Lakes Entertainment on a standalone basis at the end of the first quarter has a pool of assets that includes approximately $8 million in current assets, $9 million in property and equipment, $119 million in notes receivable from our Native American Casino projects, $11 million in other assets related to our casino projects, and $27 million in auction rate securities for a total of $174 million in cash value assets. Offsetting these assets for Lakes is approximately $29 million in various liabilities for a Lakes standalone net asset cash value of approximately $145 million. Now I will return the call over to Lyle.
Lyle Berman –Chairman and Chief Executive Officer: Thank you, Tim. For the rest of 2008, Lakes remains focused on successfully managing our current operations, opening the Red Hawk Casino in the fourth quarter of the year and getting our referendum on the Ohio ballot and passed in November. With that, I will turn the call over to the operator for questions.
Operator: (Operator Instructions). And your first question comes from James Kayler. You may proceed.
James Kayler: Hey guys. How are you doing?
Lyle Berman: Good James.
James Kayler: Good. Can you – obviously, Pokagon is doing well and continues to ramp up and the occupancy is very high. Can you talk about future expansion plans and sort of what restraints you have, given the capital structure, when you could start on something?
Timothy Cope: Sure, I can speak to that. We are in discussions with the tribal leaders and tribal government there. We have enlisted the aid of outside development companies including our own development firms and we are looking at various alternatives there. I think one of the main things we have all come to agreement on additional rooms would be a plus for that property. In terms of the financial ability to do it, as you are well aware with the bond covenants in place, nothing can really take place until after the first 12 years of operations and certain covenant tests are met at that point in time…
Lyle Berman: Excuse me. 10, 12 months. You said 12 years.
Timothy Cope: I am sorry, 12 months. 12 years, we will have a big project by then, yeah 12 months. And then obviously after the covenant tests are met and then that will determine how much more additional debt can be incurred.
James Kayler: Okay. And the – is there any update on the Shingle Spring compact?
Timothy Cope: There is nothing new to report at this point in time. Tribal leadership and their advisors are in constant communication with the Governors' office, there is nothing new at this point to discuss.
James Kayler: Okay. And given that the openings coming up sooner, at what point do you have to decide on Class II or Class III machine?
Timothy Cope: Well, pretty soon. We have been meeting with gaming vendors on a regular basis. I think internally we are looking towards over the next three to four weeks, we are going to have to make a decision at least getting boxes in the manufacturing process and then that will give us enough lead time to make sure to, like I said the box themselves are being built and then the software, hopefully we can still make a decision on Class II versus Class III on a timely basis.
James Kayler: Okay. Thank guys.
Operator: And your next question comes from Todd Eilers. You may proceed.
Todd Eilers: Hi guys. How are you?
Timothy Cope: Hey Todd.
Todd Eilers: Just a couple of questions. First on the Ohio project, can you give us an indication of how much you plan to spend on that at this point in time?
Timothy Cope: At this point, I guess, it's fair to say we don’t know for sure because it's going to have a great deal to do with what our poll say both initially at the end of July when we start looking because we are doing a small introductory campaign right now. Also it would be how much advertising and money is raised by the forces that don’t want this to happen. That’s why we gave you – we can't say for sure, but we gave you a little bit of guidance on what the previous people spent on their campaign.
Todd Eilers: Okay. And then, how about maybe for this next quarter, would you anticipate a similar amount that you spend in the first quarter? Can you maybe help us out since that’s a little bit more near-term?
Lyle Berman: Yes, I think that we -- Tim, I believe we've announced how much we are going to spend through July, is that correct?
Timothy Cope: I think we are estimating that approx total all in including what we have already announced this quarter, about $8 million roughly through to get us through first part of August.
Todd Eilers: Okay. And then all of those expenses will show up in your SG&A line, is that correct?
Lyle Berman: Yeah, that’s correct.
Todd Eilers: Okay.
Lyle Berman: Yeah, there will be an operating expense.
Todd Eilers: Okay. Let's see -- can you also -- just moving on, can you, Tim, in the past I think you give the market value of the notes based on project. Can you do that?
Timothy Cope: Sure, I can do that. The face value at Jamul at the end of the quarter was about 44 million, Shingle Springs 70, and the Iowa project of 5 approximately that gets us to the 119 million we discussed.
Todd Eilers: Okay. And then, can you give – I don’t believe I heard it, but can you give stock-based comp for the quarter?
Timothy Cope: That was not – it was probably approximately 200,000.
Todd Eilers: Okay. And then, let's see, in terms of – you guys provide management fees kind of lumping both projects in together, obviously Pokagon is the larger there. In the past, you've kind of indicated that the revenue coming out of Oklahoma has kind of been in that 400,000 to maybe 450,000 range per quarter. Is that still tracking in that range, has that increased – it sounds like that that project continues to or that casino continues to grow its revenues so, are those management fees increasing for you? I am just trying to back in to what you are getting from Pokagon?
Timothy Cope: Yeah, I know what you are trying to do. But – yeah, that’s probably a fair statement. I think in that, you know, it’s roughly – approximately 400,000 a quarter.
Todd Eilers: Okay. And then, you mentioned liquidity and needs for additional financing that you are pursuing. Is that all just related to the Ohio project? I mean, if we exclude, let's say, you weren’t going after the Ohio project; would you be fine from a liquidity standpoint?
Timothy Cope: We are relative – UBS has given us a line of credit of $11 million on the ARSs that they have and that line of credit is adequate for us to get through all of our obligations until we start cash flowing due to Shingle Springs opening.
Todd Eilers: Okay.
Timothy Cope: Does not include – and that includes the 8 million that we have committed to in Ohio through July, but it does not take into account any monies that will be spent from July – from August on in Ohio.
Todd Eilers: Okay. And then, future financing activities, would those be at kind of a joint venture level? I know, you started a joint venture structure there for Ohio with the financing being covered under that joint venture, would it be under Lakes corporate?
Timothy Cope: The financing would be advance to that corporation by Lakes.
Todd Eilers: Okay.
Timothy Cope: The financing is totally the obligation of Lakes.
Todd Eilers: Okay. And then one last question if I might. Tim, I know I always ask you this and I know it's always a tough question or tough to predict, but taxes – it was roughly 700,000 in the quarter. What do you expect going forward?
Timothy Cope: I think that’s about right. I think that’s an approximate run rate, assuming nothing else changes, that’s about what we are incurring.
Todd Eilers: Okay. All right, thanks guys.
Operator: And your next question comes from Chris Krueger. You may proceed, sir.
Chris Krueger: Hi, good afternoon guys.
Timothy Cope: Hi Chris.
Chris Krueger: I kind of need a little bit of a repeat on the last question, I just want to make sure I understand it. I know on the filing that I thought it was stated that you are lending $8 million to this partnership. But just to be clear, that $8 million will actually be in your SG&A line?
Timothy Cope: Yes.
Chris Krueger: Okay.
Timothy Cope: It will, right. It's known to a partnership but on -- because obviously there is no certainty that the referendum is going to get passed, yet at this point, it is still considered similar to a research and development expense.
Chris Krueger: Okay. And again to repeat what's in your stated comments, your estimated gaming revenues that would go to the state was that range 200 to 240 million per year?
Lyle Berman: Yeah – this is Lyle. Yes, it would be – again, not going to the state, going to the 88 counties within the state directly from the casino to the county. But yes, we estimate the 30% to be in the 200 to 240 million range.
Chris Krueger: Okay. And as far as – how do you go about this, is it a lot like a Presidential campaign or a Senate campaign where you have some guys out there doing some internal polling on a week to week basis or how does that work to gauge?
Timothy Cope: It works exactly the same as the Presidential. We run our campaign and we then take polls. We will continue to take polls by geographic area to see where we need to spend more or less money, and quite frankly also we will be looking at polls to determine what message we should send. The messages that we send in the southern part of the state where the casino will be located might be different than where it is in the north where the casino won't be as close.
Chris Krueger: Okay. In your understanding of previous efforts, is that an area maybe they were not as targeted as they should have been?
Lyle Berman: That is the information we have been given.
Chris Krueger: Okay. All right, I think that’s it from me. I will just queue back in if I need to. Thanks.
Operator: And your next question comes from Clint Morrison. You may proceed.
Clinton Morrison: Hey guys. Going back to 8 million you just talked about, is that essentially what you had anticipated at this point spending through August?
Lyle Berman: Through July, yes.
Clinton Morrison: Through July. And was there any spending prior to the 1.6 in this quarter or do we assume that essentially we got about 6.5 million between now and the end of July?
Lyle Berman: That’s right, Clint.
Clinton Morrison: Okay. And in the management fees, I think you are kind of saying anecdotally around 400, but I thought I heard you say it was up 29% from a year ago. And my question was, was there management fees from a year ago other than from Cimarron?
Timothy Cope: No, a year ago has only been Cimarron.
Clinton Morrison: Okay. So that was back and that looked like that was a number over 400,000, which suggested your management from Cimarron this time should have been well over 500,000?
Timothy Cope: No, it’s running about the same.
Clinton Morrison: Okay.
Timothy Cope: As a year ago.
Clinton Morrison: Okay. And, as you guys get into the heat of this battle at Ohio, I guess the question is, whatever the number is you end up spending, is it all coming out of your pocket or do your partners end up picking up any of this?
Lyle Berman: It’s all coming out of our pockets.
Clinton Morrison: Okay. Now assuming we spend our money and this occurs with a referendum and it votes positively, we've got 18 months until we start construction. Can you give us some kind of sense of what kind of expense load, comes out of your pocket in that 18 months?
Timothy Cope: Again, all of the expense load comes out of our pocket.
Clinton Morrison: Okay. So, how much do…
Timothy Cope: Our partners brought to us certainly the idea they had secured options on the land that the casino would be built on and give their full faith and work ethic to work full time on this project.
Clinton Morrison: Okay. So, the question is if we…
Timothy Cope: All the monies that we expend of course are loans to the project. We get paid those loans back.
Clinton Morrison: Even this upfront promotional kind of stuff to get the actual vote is all loaned to the project?
Timothy Cope: Yes, but, of course if it fails the project has no money.
Clinton Morrison: No, I realize that.
Timothy Cope: But if it's successful, all money is loaned to the project. Past, present and future will all be repaid with interest from the project.
Clinton Morrison: Okay. And if the referendum passes, we will continue obviously to expand a lot of money until we start actually go out and get the big dollars to start construction, what do we think we spend in that 18 months?
Timothy Cope: Well, when you say a lot of money, it’s just primarily architects and engineering at that timeframe. I don’t think we have put an estimate on it yet, but it's certainly nowhere near what we would have already spent to get the project.
Clinton Morrison: Okay. That sounds reasonable. Okay, that takes care of me for the moment. Thanks.
Operator: Your next question comes from Rishi Parekh. You may proceed.
Rishi Parekh: Hi Tim. We have been looking at the Shingle Springs webcam and I'm trying to get a sense for what your level of confidence is that this thing is going to be open by year-end, because just by recollection of where Pokagon was eight months before, was supposed to open and, if we look at pictures of there is a Snoqualmie casino that’s supposed to be opening in Washington around the same time. Those both look sort of further alone than Shingle Springs looks today and I am wondering if you could sort of take us from where we are today to how this thing opens up by the end of the year?
Lyle Berman: Yeah, I am actually hear that rumble behind me. I am actually sitting at the construction trailer at Shingle Springs right now. Just got through walking the property and I can assure you that this will be opened, highly confident this will be opened before the end of the year.
Rishi Parekh: And we are not worrying about having some sort of a piece-by-piece some amenities not others, but you think it gets open in its entirety by the originally contemplated time?
Lyle Berman: Yes, I do.
Rishi Parekh: Okay. And…
Lyle Berman: The webcam is getting to the point where it's just a little misleading because you can't really see what’s going on from that particular angle, we just don’t have a better angle to put it out.
Rishi Parekh: And we saw that you guys had hired Peter Fordham. Are there any other updates you can give us about your staffing and what you are doing right now?
Timothy Cope: Well, Peter was the first piece of the puzzle, obviously get the General Manager in place and we are excited to have him. He's someone who comes with a lot of experience both in casino management throughout all levels of the casino and plus obviously we worked him in the past. He was our General Manager at the Grand Casino Coushatta for a number of years, a very large project, so he knows how to run large casino and hotel projects and he has had opening experience so, we are excited about Peter. And right now based on our pre-opening timetables, we are actively interviewing and taking applications for the rest of the team get put in place.
Rishi Parekh: Thank you.
Operator: And your next question comes from [Pat McDavis]. You may proceed.
Pat McDavis: This is for Lyle Berman. I had the pleasure of meeting you when you were in Texas, at a meeting with Crandall Addington, Clonie Gowen, Erick Lindgren attended. I have two questions. The number, it involved WPTE, I believe that I am pronouncing it correctly, you have got a new company I think Cryptologic to develop the software and I was wondering how that software compares with Full Tilt and when it should be live and you all are taking bets from poker players online again?
Lyle Berman: Well, Cryptologic of course is not new, they have been in this business for quite some time, they are new to us. But prior to WPTE engaging them to run the site for us, they have been added for a number of years and have been running at other people. If you want to compare it to Full Tilt, I would say that it's not as good as Full Tilt today. There are a number of efforts. I think what we call the next releases to make it so. I would say a Full Tilt of 10, I am going to just give a kind of just like may be a 7 and I think within the next 12 months it should be equal or better than Full Tilt.
Pat McDavis: And my second question, I guess it's kind of loaded, but when – I have been owning this stock for quite some time, when do you expect to be profitable?
Lyle Berman: I think it's only fair to say that World Poker Tour's conference call, I think was yesterday, and this is a Lakes one, but of course we are very intimidated. We have not predicted a profitability for it at this point, but we certainly have predict shown to -- Steve Lipscomb talked yesterday on the conference call and talked about all of the efforts that are going forward to monetize the brand and I think probably it would be best at this point to actually to refer you to his conference call yesterday and you can, if not – if you don’t have access to it, just e-mail me at lberman@lakesentertainment.com and I will give you the call in number that you can hear it there.
Pat McDavis: And what about Lakes?
Lyle Berman: Wouldn’t we expect to be profitable?
Pat McDavis: Yes.
Lyle Berman: We expect to be profitable next year in 2009.
Pat McDavis: Thank you so much.
Operator: (Operator Instructions). And you have no questions at this time, I would like to turn it back to management.
Lyle Berman: Well, we thank you all for joining us. We are very excited about the casinos that we are running, the casino we are about to run in Sacramento, and of course our effort in Ohio is a major effort on our part. We think we gave you some very interesting arguments we think and quantified why we believe we will be successful. With that, thank you very much and we look forward to you next quarter. Tim?
Timothy Cope: Thank you everybody for joining us.
Operator: Thank you for attending today’s conference. This concludes your presentation. You may now disconnect. Good day.